Operator: Good morning. My name is Chantal, and I will be your conference operator today. At this time, I would like to welcome everyone to the QualTek Services Inc. Q2 2022 Earnings Release. As a reminder, today's conference call is being recorded. [Operator Instructions] Thank you. Michael Bowen, you may begin your conference.
Michael Bowen: Thank you, operator, and good morning, everyone. Welcome to QualTek's second quarter 2022 earnings call. Before we begin, I would like to remind everyone that we will be making forward-looking statements during today's call. Whether in prepared remarks or during the Q&A session, these forward-looking statements are subject to inherent risks and uncertainties. These risks and uncertainties are detailed in the risk factors sections of our filings with the Securities and Exchange Commission, specifically in the company's Forms 8-K and 10-K. Except as otherwise required by federal securities laws, QualTek disclaims any obligation to update or make revisions to such forward-looking statements contained herein or elsewhere to reflect changes in expectations with regards to those events, conditions and circumstances. With us today, we have Scott Hisey, QualTek's CEO; and Adam Spittler, QualTek's CFO. The format of the call will be opening remarks from Scott followed by a financial review from Adam. We will have a Q&A period following these updates. With that, I'll go ahead and turn things over to Scott. Scott?
Scott Hisey: Thanks, Michael, and good morning, everyone. On today's call, we will discuss our results for the second quarter of 2022 and our outlook for the balance of 2022 and 2023. To recap for those new to our story, QualTek went public through a SPAC merger in the latter part of Q1 of this year. In October, we will be celebrating our 10th anniversary. In the past 18 months, we have navigated through COVID-19 restrictions, took the company public during some of the most challenging macroeconomic conditions and an inflationary environment that our country has not seen in recent decades. We have also increased our significant telecommunications, 5G and fiber-related backlog and workforce to our highest level during this time. We continue to increase our business with the largest blue-chip Fortune 500 telecommunications and power customers. As each new quarter passes, we believe that we will transition from being viewed as a SPAC to a major player in telecommunications and power solutions industries. On behalf of our management team and our employees, we are excited for the future of the company. Now on to our second quarter results. During the quarter, we achieved record second quarter revenue of $184.2 million, a 41% increase over the second quarter of 2021. Our growth was largely attributable to 5G related wireless and fiber projects. Adjusted EBITDA margin steadily improved as previously forecasted 5G and fiber builds have now commenced in all of our markets. It's important to note that 96% of revenue in the quarter was generated under Master Service Agreements. Adjusted EBITDA for the quarter was $10.2 million, a 59% increase over 2021. More importantly, as our largest segment, Telecommunications revenue increased by 48.5% and adjusted EBITDA margin improved to 9.7% in a period of strong inflationary headwinds and supply chain challenges. We believe margins will continue to increase as we move into construction mode and achieve scale and full utilization of our resources. As previously outlined, many of our markets in the Northeast were waiting for C-band spectrum license availability during the prior few quarters. These licenses are now available, which is allowing us to utilize our resources more fully in our legacy markets. During the quarter, we have worked with our customers on pricing, scope and scalability to mitigate national inflation and fuel cost increases. As our customers are all committed to their respective build schedules for the next several years, it was important to place our company in a position to successfully execute our large backlog that is now in excess of $2.3 billion over the next 24 months. During the quarter, we’ve focused on strong margin improvement initiatives with our customers to ensure that pricing, material delivery and backlog conversion remain our top priority. We have worked very closely with each of our long-term partners to ensure that our goals are aligned and that QualTek can drive consistent margin improvement and continue to generate cash flow to fuel our strong organic growth as reflected in our backlog. Our second quarter highlights include record Q2 revenue of $184.2 million, record Q2 Telecom revenue, improved Telecom margin year-over-year to 9.7%, increased backlog to $2.3 billion from $2.2 billion. I will now review each of our segments. For the Telecommunications segment, Q2 was an extremely strong quarter for our Telecom business as we are now returning to pre-COVID levels of workflow and workforce utilization particularly in the Northeast, where 5G builds have commenced as spectrum licenses are now available. In spite of the strong headwinds from wage inflation, fuel and material shipping cost, we continue to improve margins throughout the quarter. During the second quarter, we worked with our customers on pricing, scope of work and ways to scale our business to meet both short and long-term needs as 5G and fiber builds are now hitting full stride across the entire country. We are encouraged by our customers' commitment to the 5G and fiber build outs, QualTek's performance and the long-term continued demand for our services. As we anticipated on our last call, the strong organic growth we expected towards the end of Q2 has materialized, and we believe this will continue through the balance of the year and into 2023 as indicated with our increased backlog. More specifically to this point, with the continued strong demand for 5G and fiber services for the next several years and our ability to deliver, our backlog increased by $100 million during the quarter. Now for our Renewable and Recovery segment. During the quarter, we continued to expand our service offerings and contract base for recovery logistics in advance of storm season. We grew our workforce in our grid modernization business in the Southeast. We see strong demand for resources within that portion of the segment. As evidenced by the federal mandates for grid modernization, power company commitments and recent M&A activity in this space, there is strong macro growth opportunity in this segment. QualTek is firmly positioned to capitalize on these long-term initiatives as we have Master Service Agreements with the major power and utility companies that are impacted by the necessity to upgrade their infrastructure. As we discussed on our first quarter call, the renewable industry has been greatly impacted by supply chain challenges and other regulatory items creating delays in build schedules. These issues also impacted QualTek as we had sizable bookings scheduled for completion in Q2 that got pushed out. We remain optimistic about the future of renewable energy opportunities and are confident that the current relative softness will work itself out in time. In closing, we are extremely excited with our record Q2 revenue, execution, increased backlog and overall performance. I will now turn the call over to Adam Spittler, our Chief Financial Officer, who will give more detail on our financial performance. Adam?
Adam Spittler: Thank you, and good morning, everyone. Today, I will cover our second quarter 2022 financial results. As Michael indicated at the beginning of the call, our discussion of financial results will include non-GAAP adjusted EBITDA. Reconciliation and details of non-GAAP measures can be found in our earnings release. As Scott mentioned, we are very pleased at the year-over-year growth in both our overall business and Telecom, our largest segment, as we reported record revenue on both fronts in Q2 2022. This really shows the scalability of the business as we continue to execute on our estimated $2.3 billion backlog. Now I will move to our Q2 financials. Second quarter 2022 revenue increased 41% to $184.2 million compared to $130.6 million for the second quarter 2021. As Scott mentioned, for the quarter, 96% of our revenue was generated under Master Service Agreements. Second quarter 2022 adjusted EBITDA was $10.2 million compared to $6.4 million in the second quarter of 2021. The growth in both revenue and adjusted EBITDA were driven primarily by the increased volume of 5G and fiber rollouts. As we have indicated in the past, strong industry tailwinds have begun to arrive, and we are seeing that play out in our significant telecom growth year-over-year. We expect a continued growth trajectory in our Telecom segment. From a working capital perspective, we expect our working capital build to level out in the middle of the third quarter and the business turning cash flow positive for the back half of the year. Net loss from operations was $25.6 million compared to a net loss of $21.8 million in the second quarter 2021. The increase in net loss in 2022 is primarily due to expenses related to operating as a public company, share-based compensation expense and one-time public company readiness cost not in the year ago period. Transitioning now to our segment results. Telecom revenue increased 48.5% to a second quarter record of $175.2 million compared to $118 million for the second quarter of 2021. Second quarter Telecom adjusted EBITDA increased 70% to $17 million compared to $10 million in the second quarter of 2021. Both year-on-year increases are attributable to the strong 5G rollout volumes and the customer programs previously discussed. Sequentially, compared to the first quarter of the year, our Telecom segment reported increased revenues of 32% versus 10.8% over the same sequential period in 2021. From an adjusted EBITDA perspective, our reported adjusted EBITDA increased more than threefold from Q1 2022 versus a twofold increase over the same sequential period in 2021. The sequential increase in both revenue and adjusted EBITDA were primarily due to accelerating 5G deployment, which resulted in our Telecom business growing in excess of our typical seasonality. To state again, we believe the massive 5G infrastructure build out has arrived, and we are well-positioned to experience continued growth across our Telecom segment. In the second quarter, our Telecom adjusted EBITDA margin improved sequentially to 9.7% from our first quarter 2022 of 3.6%, reflecting the impact of scalability within our platform. Second quarter Renewable and Recovery segment revenue was $9 million with an adjusted EBITDA loss of $600,000, a decrease from the same period last year of $3.6 million and $1.7 million, respectively. The decreases in both revenue and adjusted EBITDA were due primarily to delays related to supply chain challenges within certain renewable projects. Second quarter corporate costs were $6.3 million compared to cost of $4.7 million in the prior year period. The increase in corporate costs was primarily driven by new public company expenses, including increased head count in our finance and risk management functions, professional services and corporate governance expenses required to operate a public entity. As a percentage of revenue, our corporate cost was 3.4% of revenue, a decrease from 3.6% in the prior year period, reflecting increased scale within the business. Now I will provide an overview of revenue in respect to our five largest customers for the second quarter 2022: AT&T, which includes wireless, wireline and recovery logistics services was 42%; Verizon was 16%; T-Mobile was 13%; Comcast was 6%; and Florida Power & Light was 4%. This compares to the prior year of AT&T at 48%, T-Mobile at 15%, Verizon at 13%, Blattner at 6% and Comcast at 4%. Our top three customers accounted for 71.5% of our revenue versus 75.9% in the prior year same period, reflecting further improvement in our customer diversification. As it relates to backlog, we report a rolling 2-year backlog on a quarterly basis. At the end of the second quarter 2022, estimated total backlog was $2.3 billion, an increase from the $2.2 billion reported at the end of Q1 2022. I will now turn the call back to Scott.
Scott Hisey: Thanks, Adam. In closing, we remain energized about the future of this industry and the prospects for QualTek. Our customers have committed to building this infrastructure, and QualTek is playing a critical role in helping them meet this unprecedented demand. With that, I'll pass it back to the operator for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Brent Thielman with D.A. Davidson. Your line is open.
Brent Thielman: Hey, thanks. Good morning. Good progress here in the Telecom business this quarter.
Scott Hisey: Thanks, Brent.
Brent Thielman: Scott or Adam, I guess, having gone through July now, seem it was a really nice sort of seasonal sequential increase in the Telecom business in the second quarter. Can you talk a bit more about what you're expecting in the second half for that side of the business?
Scott Hisey: Yes, Brent, thanks for the question. Right now we are focused on hiring people. As we talked about our backlog, really focusing on organic execution. Our largest customers have come to us, and we've had numerous discussions. And right now, it's really about blocking and tackling and adding people and growing our business to meet these needs.
Brent Thielman: Okay. And then I guess in the context of the inflationary headwinds you and everyone else is experiencing as well, Scott, I mean, as you move from kind of procurement activities to more installation activities, I guess, even more so here in the second half, can that support double-digit EBITDA margins here in the second half? Is it too early in the spending cycle to see that? And just your thoughts there with all that's going on.
Scott Hisey: Sure. So that's our expectation. From a volume standpoint and scalability, we're really starting to leverage our platform. And as the last quarter went by, we've met with all of our customers and had meaningful discussions about how we're going to continue to organically build this business around our existing locations. So the scalability piece coupled with us actually being in physical construction mode right now should improve our margins.
Brent Thielman: Okay. And it looks like the Renewables piece was a little weaker this quarter. You talked about some of the factors there. I mean any improved line of sight in the second half of that side of the business? Do you think it's going to be lower as we go through this year?
Scott Hisey: There are some projects that we look to finish in the back half of the year, but we really see this as a 2023, 2024 play for QualTek. Right now we have resources that work in the power space that we could sort of dedicate to executing backlog that we have with some of our power customers. And we actually remain very bullish and excited about the renewable space, but the delays in projects and sort of the rebalancing of priorities within that segment, for us, we're just going to watch it for a little bit and take projects that make sense for us until it gets in the full mode.
Brent Thielman: Yes, understood. Just last one. Adam, you mentioned working capital build should level out in the middle of the third quarter; cash flow positive, back half. Is that contingent upon the workloads you see or don't see in recovery logistics? Is that a comment just for the Telecom business? Just curious to your thoughts there.
Adam Spittler: Yes. So as I mentioned, we are kind of seeing peak working capital now. So we do anticipate positive free cash flow in the back half of the year, really independent of the recovery business. And obviously, if the recovery business performs as we expected to and as it did last year, it's just going to kind of supercharge our cash flow generation in the back half of the year.
Brent Thielman: Yes. Okay, great. I will pass it on. Thanks, guys.
Operator: Our next question comes from the line of Tim Horan with Oppenheimer. Your line is open.
Tim Horan: Thanks, guys. So on the Telecom build out, are you basically -- are there any further bottlenecks? Like are we at maximum build out at this point? Do you have the equipment? Is the spectrum very cleared out? And how long will this build out take, you think?
Scott Hisey: Hey, Tim, thanks for the question. I wouldn't say we're anywhere near the top of the hockey stick here. There's a long way to go. There are several years with this build. The biggest thing we're focusing on now is resources, both in-house and training folks and vendor partners who we have relationships with. And there is such a pent-up demand I know on some of the other calls from our industry, the folks that are speaking about this. This is unlike any time that I've experienced in terms of demand. So this is going to take a while. This isn't a, hey, everyone's going to wrap it up in 2023 or 2024. It's going to be a long cycle. There's a lot of fiber that has to be deployed. And when you think about literally the hundreds of thousands of cell sites that need to be upgraded across four and five carriers now, we are still in the very early innings. The spectrum was just released in a lot of the markets, so there's a lot of upgrading to do. And we're just really focused on adding people and doing as much of it as we can do. I can just tell you that there's probably -- I couldn't put a number on the amount of people that we could hire right now to meet the needs of our customers. So we're just going to continue and focus on execution and hiring as many great people as we can as this build out continues.
Tim Horan: So in communications, we've seen a lot of weather-related seasonality and other seasonality. Maybe would that -- could that be dampened here? I mean could we kind of work throughout the fourth quarter and first quarter maybe more elevated level than we have historically?
Scott Hisey: Yes, Tim. So with QualTek, remember that a considerable amount of our business is done in Northeast and Midwest. So we have normal weather seasonality. And just projects, they start in April and finish up in November as it is. So there's both the seasonal climb for us that we have every year. And then throw on top of that, that these markets all have huge build demands right now, too. So this is one of those situations where we're always going to do better from, say, March, April to October, November. But that's amplified now with this build.
Tim Horan: Well, I guess the question is, will we maybe -- unlike other seasons, can we still hang equipment in December, January, February? Or is it just not technically feasible?
Scott Hisey: It will be more of a rebalance of the type of work we do. And then the other thing for QualTek, we've really focused on building our Western division over the last year. And this year, we're focusing on the Southeast. So we have numerous opportunities to try to balance out the seasonality of the business.
Tim Horan: Got it. Got it. And Adam, can you give us a little color on the guidance? I think you had $110 million of EBITDA guidance out there. Are you -- can you just talk about the puts or takes, what will kind of take to hit that? And I guess, really, the Recovery business is a very, very important component of that, last year contributed a lot of EBITDA. So maybe just what you're expecting from that for the remainder of the year?
Adam Spittler: Yes. Thanks, Tim. So I mean we've modeled in basically the average from the last 6 years for the Recovery business, so really on par with what we did and how that business performed in 2021.
Tim Horan: Got it. And where are you now in the overall guide of $110 million, I think it was for EBITDA this year? Do you think you can hit that number? Or are we thinking about a different number yet?
Scott Hisey: Yes, Tim, this is Scott. I will take that one. So from our perspective, we went public in February with a new structure. And during Q2 call, I let everyone know that we're going to operate through Q3 and give guidance after Q3. It's very important that we establish real credibility with everyone, and we want to make sure that when we go out with that first guidance after going public that we nail this and get it down to the right number. So we feel running through Q3. And if we're comfortable at some point during Q3 midrange, we will issue guidance. But right now, our plan is to issue full guidance after Q3.
Tim Horan: Got it. And just lastly, where are you with maybe liquidity and cash on hand to operate the business? Thanks.
Adam Spittler: Yes, Tim. So as we reported, we ended the quarter with $71 million drawn on our line of credit. And as I mentioned, we're at peak working capital right now. So the back half of the year, as things start to level out, we'll be cash flow positive. And we expect some of that working capital to come in, in Q4.
Tim Horan: Got it. And that line of credit, how much can you draw down on that, if you need to?
Adam Spittler: Yes. So the facility is $103.5 million. Obviously, if you look at the balance sheet, the assets are far greater than what we need to collateralize the full balance. So if we did have to flex, we would have that ability.
Tim Horan: And then lastly, what's your next major financing you need to do, the time frame on that?
Adam Spittler: So our ABL and our term facility expire July 2025, and then the convert is 2027.
Tim Horan: Great. All right, guys. Thanks a million. Good luck.
Operator: [Operator Instructions] Our next question comes from Christian Schwab with Craig-Hallum Capital Group. Your line is open.
Christian Schwab: Great execution in the quarter. Scott, can you tell us the mix of business between wireless and wireline at AT&T currently?
Scott Hisey: It's about 80% wireless.
Christian Schwab: Okay.
Scott Hisey: The balance is wireline and services.
Christian Schwab: Great. And then just a follow-up on weather-related work, et cetera. Of your Master Service Agreements that you have over the next 2 years, do you have a rough idea that you can share with us what that looks like from a geographical standpoint? How much is kind of is in the Northeast and Midwest, how much is in the Southeast, how much is in the West currently, roughly, or not?
Scott Hisey: So we’ve the vast majority or a significant portion from the tip of New Jersey to Florida and through the Gulf major MSAs with the power and utility companies across those areas. So just about all the companies that would be generally affected from major storms. And then we have other nationwide contracts to service, whether it's tornadoes or other storms that come about, floods, things of that nature.
Christian Schwab: Okay, great. And then it wasn't clear to me when we were talking, we expect EBITDA margins in the Telco business to improve in the second half from the most current level here at 9.7%. And then on the top line, I guess it wasn't necessarily -- I would assume as we go into this, revenue will be greater in Q3 than it was in Q2. But you also said you needed to add people. So do we have the people and the resources and the materials for sequential improvement on the top line in the Telco business in Q3? Or do we -- or are we still in the process of putting together people here or Q4 as well?
Adam Spittler: Yes. Thanks, Christian. As Scott mentioned, obviously, we are trying to add resources as quickly as possible, but we do expect Q3 year-over-year to be similar to what our Q2 is in Telecommunications. And we are seeing improved growth as we go through the quarter. And then from an overall margin perspective, obviously, as the service revenue increases, we anticipate hitting and exceeding our 10% EBITDA target for Telecom.
Christian Schwab: Great. And then my last question …
Scott Hisey: Hey, Christian, just -- Chris I was just going to add on that, that one of our key focuses at QualTek has been hiring our heroes and hiring veterans. So we have numerous different programs where we continue to reach out to all organizations within our military and add and train people. So we are really focused on adding great people to the organization. And really a quarter or two from now, some of the programs that started during the course of this year are really going to take shape, so we really expect to see our veterans hitting the field and make an impact as we continue to grow people.
Christian Schwab: Great. And as we go forward on the $2.3 billion in backlog that you have, is there any -- is there potential for any new meaningful customers outside your -- the historical top 3 of AT&T, Verizon and T-Mobile that could come to fruition over the next 24 months? Or would you expect to continue to have a disproportionate share of revenue tied to those 3 customer spending initiatives?
Scott Hisey: So there's a couple of things there, Christian. First of all, obviously, we focus a lot of our growth on wireless. But historically, from our inception and most of the background of our management team was in fiber and underground construction builds dating all the way back to FiOS and original fiber builds with the cable companies, so we've focused so much on wireless for the last couple of years because that's where the opportunity was. But we're pretty excited about some of the new fiber builds that we're seeing. We think that in some cases, it was probably better for us to sit out the first part of the fiber builds because we think the pricing and the scope of work is improving. And there's numerous opportunities that we're exploring to build out our fiber business, so that will be a bigger piece of our Telecom mix. And we're looking to continue to diversify our revenue in Telecom, so there's a lot of opportunities in fiber.
Christian Schwab: Right. And are you guys -- and I guess one last question then. Are you seeing any opportunities from RDOF yet? Or is that -- or are we focused on satisfying what seems to be tremendous demand from the three big telco companies you're working with?
Scott Hisey: Well, we're really looking to focus and leverage on existing -- the existing 85 office locations that we have. So there are RDOF opportunities that we're starting to pick off here and there, and leverage the resources that we have because we think from a scalability standpoint, that's the best way to generate cash and really improve our margin profile.
Christian Schwab: Okay, great. [indiscernible] questions. Thanks, guys.
Scott Hisey: Thanks, Christian.
Operator: We have reached the end of the question-and-answer session. This concludes today's conference call. You may now disconnect.